Operator: Good afternoon. My name is Al, and I will be your conference operator for today. At this time, I would like to welcome everyone to the SYNNEX 2014 Third Quarter Earnings Conference Call. All lines have been placed on a listen-only mode to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions). Today’s conference is being recorded. If you have any objections, you may disconnect. Thank you. At this time, I would like to pass the call over to Ms. Deirdre Skolfield, Director of Investor Relations at SYNNEX Corporation. Ms. Deirdre Skolfield, you may begin your conference.
Deirdre Skolfield: Thank you, Al. Good afternoon and welcome to the SYNNEX Corporation fiscal 2014 third quarter conference call for the period ended August 31, 2014. Joining us on today’s call are Kevin Murai, President and Chief Executive Officer; Dennis Polk, Chief Operating Officer; Marshall Witt, Chief Financial Officer; and Chris Caldwell, Executive Vice President and President of Concentrix Corporation. Please note that some of the information you will hear today will consist of forward-looking statements, including without limitation those regarding revenue, net income, EPS, EBITDA, expenses, tax rate, ROIC, cash flows, growth, demand and shareholder value. Actual results or trends could differ materially from our forecast. For more information, please refer to the risk factors discussed in our Form 10-Q for the fiscal 2014 second quarter and our Form 8-K filed with the SEC today along with the associated press release. We assume no obligation to update any forward-looking statements, which speak as of their respective date. Also during this call, we will reference certain non-GAAP financial information. Today’s earnings release and the related Form 8-K available on our Web site present the reconciliation between our non-GAAP and GAAP reporting. This conference call is the property of SYNNEX Corporation and may not be recorded or rebroadcast without our specific written permission. Now, I’d like to turn the call over to Marshall for an update on our financial performance. Marshall?
Marshall Witt: Thank you Deirdre. Good afternoon everyone, and thank you for joining our call today. I will summarize our results of operations and key financial metrics and conclude with guidance for the fourth quarter of fiscal 2014 before turning the call over to Kevin. Technology Solutions and Concentrix business segments performed very well in Q3. Our Q3 revenues, non-GAAP net income and non-GAAP diluted EPS, all came in above the high-end of the outlook provided in our Q2 call. On a consolidated basis total revenue was $3.54 billion, up 29% compared to $2.73 billion in the same quarter of the prior year. Our gross profit on Q3 revenues increased 82% to $300 million or 8.5% of revenues, compared to $164 million or 6% of revenues in Q3 of 2013. The increase was due largely to the impact of the IBM CRM acquisition and Technology Solutions growth. Technology Solutions segment revenues grew 19% year-over-year due to strong organic growth. Concentrix segment revenues were $334 million, up from $46 million in the year ago quarter and consistent with our expectations. Q3 total selling, general and administrative expenses, excluding one-time acquisition and integration expenses and amortization cost increased as a percentage of revenue to 5.47% or $193 million. This compares with 3.52% revenues or $96 million in the third quarter at fiscal 2013. The increase is due primarily to the impact of the IBM CRM acquisition. With over 99% of the overall acquisition closed since May of this year, we continue to effectively manage cost as we drive flexibility and efficiencies within our support structure as our business grows. We also continue to make significant investments in people and infrastructure to support profitable growth in both the Concentrix and Technology Solutions segments. One-time acquisition and integration expenses included in selling, general and administrative expenses were $9.9 million for Q3, down from $15.7 million in Q2. Q3 consolidated GAAP income before non-operating items, income taxes and non-controlling interest increased by 24% to $78.8 million or 2.3% of revenues, compared to $63.5 million or 2.32% in the prior year third quarter. Excluding one-time acquisition and integration expenses and amortization costs, non-GAAP operating income increased by 56% to $106 million or 3.01% of revenues, compared to $68.1 million or 2.49% in the prior year third quarter. At the segment level, Q3 Technology Solutions income before non-operating items, income taxes and non-controlling interest was $76.9 million or 2.40% of revenues, up 23% from prior year quarter results of $62.5 million or 2.32% of revenues. For Concentrix, income before non-operating items, income taxes and non-controlling interest was $1.75 million or 0.52% of Concentrix revenues compared to operating income of $826,000 or 1.78% of revenues in the prior year quarter. The Q3 income includes $9.9 million in charges related to the IBM CRM acquisition and other integration costs, and $16.7 million in amortization expense. Excluding these charges, non-GAAP operating income for Concentrix in the quarter was $28.3 million or 8.49% of revenues. Concentrix generated positive cash flow from operations in Q3 of 2014. Net total interest expense and finance charges for Q3 were $7.6 million, up from $3 million from the prior year quarter. The Q3 expense reflects debt associated with the acquisition of the IBM CRM business and higher working capital needs to fund our profitable growth. The tax rate for the third quarter of fiscal 2014 was 36.3% compared to 35.8% in the prior year quarter. For the remainder of fiscal 2014, we anticipate the annual tax rate to be in the 36% to 37% range. On a GAAP basis, our third quarter net income decreased by $45 million or $1.15 per diluted share. For comparative purposes, it’s important to note that in Q3 of 2013 we benefited from a pre-tax $12.3 million legal settlement recorded in other income net. On a non-GAAP basis, our third quarter net income increased over 25% to $62.5 million or $1.59 per diluted share. Turning to the balance sheet; our accounts receivable totaled $1.9 billion on August 31, 2014 for a DSO of 48 days, which was up four days from the prior year quarter. Inventory totaled $1.4 billion or 41 days at the end of the third quarter, up five days from the third quarter of 2013. Days payable outstanding was 39 days, unchanged from the end of the prior year third quarter. Hence, our overall cash conversion cycle for Q3 of 2014 was 50 days, up nine days from Q3 of 2013 due to the strong growth in TS and the IBM CRM acquisition. Our debt to capitalization ratio was 38%, consistent with Q2 of 2014. At the end of Q3, between our cash and credit facilities, the Company had over $400 million available to fund growth. Other financial data and metrics of note for the third quarter are as follows: depreciation expense was $10.2 million; amortization expense was $17.6 million; HP at approximately 25% of sales, down from 20% a year ago was the only vendor accounting for more than 10% of sales. The percentage decrease was the effect of the IBM CRM acquisition and other mix changes. HP revenue grew year-over-year. Cash capital expenditure for the quarter was approximately $20 million. Annualized ROIC in Q3 of 2014 was 7.7% including the impact of our acquisition-related expenses. Trailing fourth quarter ROIC was 8.2%, including the impact of our acquisition-related expenses. Excluding the impact of one-time acquisition and integration expenses and amortization, the current fiscal quarter's trailing ROIC was 10.6%. Preliminary cash flow used in operations was approximately $47 million for the third quarter and $247 million for the nine months of 2014 due to strong growth in our Technology Solutions business and the impact of the acquisition of the IBM customer care business. As described in our press release, the Board of Directors approved the initiation of quarterly cash dividend of $0.125 per common share to be paid on October 31, 2014 to stockholders of record as of close of business on October 17, 2014. We modified our capital allocation strategy to prioritize the dividend as a way of returning cash to shareholders. Given our consistent track record of profitable growth and strong balance sheet, we felt it was an appropriate time to incorporate a dividend to complement our share repurchase plan. Now, moving to the fourth quarter of 2014 and our expectations; we expect revenue to be in the range of $3.65 billion to $3.75 billion. For non-GAAP net income, the forecast is expected to be in a range of $65.9 million to $67.9 million. Non-GAAP diluted EPS is anticipated to be in the range of $1.66 to a $1.71. The non-GAAP diluted net income and non-GAAP EPS guidance excludes acquisition and integration-related expenses, the after-tax cost of approximately $11 million or $0.28 per share related to amortization of intangibles. Weighted average shares estimated for diluted EPS are $39.8 million. Please note that these statements of Q4 expectations are forward-looking and actual results may differ materially. I will now turn the call over to Kevin Murai, President and Chief Executive Officer for his perspective on the business and our quarterly results. Kevin?
Kevin Murai : Thank you, Marshall. Good afternoon everyone and thank you for joining our call today. As Marshall discussed, SYNNEX delivered another terrific quarter, and with stronger than anticipated market demand, we exceeded our own expectations. I'm proud of the outstanding results and performance achieved by both our technology solutions and Concentrix team this past quarter, which resulted in our strongest quarter ever in terms of revenues and adjusted net income. In Technology Solutions, strengthened base business and success in our key strategic initiatives led to stronger sales than we anticipated with profit performance reflective of that top-line strength. Revenues grew 19% organically year-on-year with the U.S. leading our regions in growth. Japan delivered double-digit sales growth resulting in profit improvement from a year ago. On a constant currency basis, Canada grew sales modestly but with good profit improvement due to mix and cost controls. Equally impressive was our operating margin performance. Operating income in technology solutions grew by over 23% from a year ago quarter, highlighting our disciplined approach to the market and managing our portfolio of business and also despite a larger than normal volume in commodity lines related to the Win XP tailwind. In the United States, the market was generally strong across all product and market segments. In our commercial business, we continue to see demand in PCs, networking, storage, security and peripherals. From a market perspective SMB was strong as well as state, local and education. Our retail business through New Age Electronics had strong growth with a successful back to school season and also a small amount of pull forward sales from Q4 in preparation for the holiday season. Our Hyve Solutions business continue to be a notable contributor to our overall results in the Technology Solutions segment. The success of Hyve Solutions, which focuses primarily on large scale datacenter build-outs for Web 2.0 on related companies was one of the drivers that increased inventory and accounts receivable this past quarter as we continue to grow and invest in that business. In Canada, we continue to execute well in what we see as a stable to improving market environment. Our corporate and commercial businesses experienced solid organic growth while expanding their margin. In Japan, we experienced continued tailwinds from Win XP early in the quarter but also experienced a seasonally slow August as many in the country took vacations that month. We believe we continue to grow our market share and expect to perform better than the overall market in the coming quarters. Overall, we had excellent performance in our Technology Solutions segment. We pride ourselves in strong execution and customer focus. We stay ahead of the curve in evolving our business model to the ever changing technology market in which we operate. We're passionate about adding value by putting our customers first and creating best-of-breed capabilities in the marketplace through knowledge, technology solutions and services. Now turning to the Concentrix segment, Concentrix delivered $334 million in sales, which was primarily driven by the business we acquired. Although there remained some project related contracts that we will be winding down in the coming six quarters, we believe our success in signing new logos, baseline expansion and renewals will create growth opportunities in 2015 and beyond. As we projected on last call, our non-GAAP operating margin of 8.5% was burdened by the redundant cost related to the integration as well as ramp up cost associated with sizable incremental business we are on-boarding. Our integration work is on track and proceeding well. Our ability to attract new clients, while retaining and expanding business with existing clients is excellent. Moving forward, as our integration expenses fall away, we continue to see the ability to increase our operating margins. For more color on the Concentrix business, I'll turn the call over to Chris Caldwell. But before I do I want to thank the entire Concentrix leadership team and the entire Concentrix team now over 50,000 strong for their hard work and effort throughout this process. Chris?
Chris Caldwell: Thank you, Kevin. This past quarter we continue to execute to our plan across all areas of the business, from operational execution delivering strong sales to the integration work at hand. We are extremely proud of our entire team as they have managed the integration exceptionally well, while also growing the business. It's been an incredibly busy year since we announced our acquisition and eight months since our initial close. In that time we have seamlessly on-boarded over 35,000 IBM staff. We have also added over 5000 new staff, taking our overall headcount to well over 50,000 as we continue to expand our scope of services with existing clients and winning new deals. We have completed tactical hires in high value areas such as analytics and our key verticals. To house all these new staff members we have expanded and opened over 10 new locations around the world in record time. Q3 was no less busy for us and was a very strong quarter for signing expanding deals with our existing clients. Operationally, we performed very well highlighted by the launch of two large programs in Latin America that have already been recognized by the client for producing outstanding results. Turning to Q4, what remains at this point is essentially completing a build out of our back-office functions that have been supported by IBM as well as closing the remaining countries which represent less than 1% of our revenue. As we mentioned last quarter, the significant duplicate costs of running parallel systems did burden operating margins in Q3 with Q4 being the heaviest quarter of duplicate costs but we remain on track to migrate off all the remaining IBM systems in early 2015. With all this activity we are well on track to deliver the $120 million EBITDA number we stated over a year ago when the deal was first announced and as Marshall mentioned Concentrix generated positive cash flow this quarter. It’s an exciting time for Concentrix and I would personally like to thank the over 50,000 team members that have worked so diligently and been so committed to achieving these great results. We are all very focused on building a bigger, stronger and better Concentrix for all of our stakeholders. I’ll turn the call back to you, Kevin.
Kevin Murai: Thanks, Chris. And I also echo Chris's comments on how impressed I am with the strength and talent of the legacy IBM and Concentrix teams and how well they have come together to become a unified team. Now before I discuss our guidance and as Marshall noted today, we announced our decision to initiate a dividend during our fourth quarter. With our historical success and confidence in the future in both our technology solutions and Concentrix businesses, we believe it is consistent with our focus on shareholder value to provide this element of returning cash to our shareholders at this time. This aspect of shareholder return will not slowdown our ability to fund growth through continued investments in our business. Now moving to our view on the current market environment; our fourth quarter guidance reflects continued strong sales and profit performance in our Technology Solutions segment. We believe overall IT demand has returned to a normalized demand profile post the Windows XP upgrade benefit. We expect IT demand to remain stable in the U.S., Canada and Japan and we expect to continue to perform better than the market in all three geographies. Concentrix sales will increase seasonally while we will continue to experience incremental cost associated with our integration work. As Chris mentioned, we are on track to we’re achieving our goal of $120 million of EBITDA for the first 12 months post close which commenced in February of this year. It is important to note that the seasonality of our business is changing driven by acquisitions over the past few years, shifts in the markets we serve as well as the success of our Hyve Solutions business which is a projects based business. As a result our fourth quarter guidance reflects strong year-over-year growth although slightly less than historical sequential growth from our strong results in Q3. In closing, we are very proud of what we’ve accomplished and excited about our future and feel we are just hitting our stride. We believe the strong growth in Technology Solutions and the transformational acquisition for our Concentrix business will result in increased shareholder value through margin expansion, EPS growth and ROIC improvement. This is an exciting time for SYNNEX and I’d like to acknowledge the hard work and dedication of all of our associates around the world from both our Technology Solutions and Concentrix businesses. I also want to thank our vendors, customers and shareholders for their continued partnership and support. And with that let’s turn the call over to the operator for questions.
Operator: Thank you. (Operator Instructions) And our first question here comes from Ananda Baruah. Your line is now open.
Ananda Baruah - Brean Murray Carret and Co.: Congratulations on what was clearly a really solid quarter. And Kevin, really a question for you and I guess the whole team and I’ll just keep it to one because it’s sort of broad. I’ll let you answer it as you see fit. Given the strength that it's so broad, could you guys walk through for us where it was, I guess what the specific drivers were to the business both top line and margin wise that surprised you to the upside, and sort of -- and really led to the beat and to the optimism that you see for the ongoing strength into ’15?
Kevin Murai: Really, just a few key areas that I think are noteworthy. First of all, we continue to get tailwinds from the Windows XP support going away. Now we had anticipated that early in our third quarter but it did continue to raise the water level of overall demand in IT, which was a little bit stronger than we had anticipated. Second, certain segments continue to be very strong, in particular some segments in public sector like state local education was strong and then finally as I mentioned in my prepared remarks our high solutions business did experience what I would call unanticipated demand. It’s a projects based business and we were the beneficiary of some business that was over and above what we had originally thought we would do.
Ananda Baruah - Brean Murray Carret and Co.: Thanks and then on the margin side as well, particularly in [key] [ph] assets -- that's where margin strength came from this quarter?
Kevin Murai: Yes, I mean pretty much on track with where we came out for Concentrix and we did certainly get benefit out of our technology solutions. I think it really seeks to the leverage rate we get out of that business when we’re able to drive top line sales.
Operator: Thank you. And our next question comes from Brian Alexander. Your line is now open.
Brian Alexander - Raymond James: I just had a follow up on the margin. So in the Tech Solutions business revenue was up about 1% sequentially but your operating income was up about 10%. So the incremental margins were very robust this quarter. Was there anything unusual that drove that any release of reserves or anything one-time in nature or was it mix related? You mentioned Hyve was strong. So I don’t know if that was a big contributor. The reason I ask is your fourth quarter earnings guidance, if I kind of back into the TS margin, it seems to imply that they’re basically flat sequentially. Normally you see a pretty big bump in the fourth quarter. So I’m just trying to understand kind of the patterns here in Q3 and Q4.
Kevin Murai: Yes, Brian, I'll tell you, nothing unusual in our third quarter. There is always going to be ebbs and flows that we experience in different programs and timing of things but nothing there. And again I get back to when we’re able to drive top line growth we’re able to drive leverage to our bottom line.
Brian Alexander - Raymond James: Okay. But are you anticipating margins to be roughly flattish in Technology Solutions in the fourth quarter? Is that ultimately what’s implied by the earnings guidance?
Kevin Murai: Well as you know, we don’t guide to margins. We do expect to perform well against all the different programs that we have. And so again, it really depends on what we’re able to benefit from and how we’re able to drive top-line growth and again drive leverage out of that. But when you look at our overall performance on a year-on-year basis as well as sequentially, you kind of triangulate into performance that from my perspective you would expect out of that business. 
Brian Alexander - Raymond James: Okay. And then may be just on the Concentrix side, if I heard your comments correctly, it sounds like maybe we’ll see additional margin degradation in the fourth quarter before rebounding in the first quarter, and I was just wondering if there is any way you can help us size the duplicated cost so we can just get a better sense for how the underlying business is performing from a profitability perspective currently and beyond Q4 if you could talk at all about what the margin expansion opportunity is for this business. Is it closer to 10% operating margin? Is it 12%? Just help us think about it relative to how other competitors are operating in the space?
Chris Caldwell: Thanks Brian, it’s Chris. So there will be some additional cost within Q4. We’re not going spell it out or guide to it but there will be some additional [weight] [ph] within the quarters we go through and as we talk about it, those costs will start to diminish in Q1, – so you’ll see some expansion from that perspective. I think what we’ve talked about publicly is that our goal is to get this business back to sort of double-digit operating income. We haven’t provided a timeline to it but based on our belief of the business and what we've seen, we obviously think that’s an achievable goal over a period of time.
Operator: Thank you. And our next question here comes from Matt Sheerin. Your line is now open.
Matt Sheerin - Stifel Nicolas and Company: Just another question regarding Concentrix if I may. Kevin, in your opening comments you talked about some projects at Concentrix winding down. Could you quantify that? And you also talked about ramping new business opportunity. So do you expect in FY ‘15 to actually grow that business year-over-year?
Chris Caldwell: Why don’t I take it? It's Chris. In regards to your first one, we haven’t sized those contracts. We talked about that in the last earnings call, that we’re working with them now because there is some residual business that may well continue and so we’re unsure about what that is, but we brought the business knowing that these contracts were going away and talked about that at the original announcement day and as we get better visibility we’ll provide that along. In terms of our expectations, we also talked about the fact that we would like to see this business go back to growing and growing at market, which is that 4.5% to 5% growth rate within sort of the first 12 months and we still continue to see that being possible.
Matt Sheerin - Stifel Nicolas and Company: Is it that based on the pipeline that you see now?
Chris Caldwell: It’s based on the pipeline that we see now. It’s based on what we’re ramping for at the moment and provided that we continue to execute, we see it as being achievable.
Matt Sheerin - Stifel Nicolas and Company: Okay. And just two other questions, one just regarding the PC refresh. It sounds Kevin like slowing a little bit but you’re still seeing -- it sounds like you’re guiding to seasonal if not a little bit lighter than seasonal demand which seems to be better than what some investors have been expecting lately. So maybe a little bit more color there. And then also within Hyve Solutions, that’s growing. Could you give us an idea of what contribution in terms of your operating profit or revenue Hyve now represents and could you give us an idea of that business in terms of pipeline and number of customers. 
Kevin Murai: Thanks for the question Matt. So first on Q4 and talking through the PC growth, so as strong as -- if you kind of look at our guidance where we’re looking at for Q4, we’re still expecting strong growth in overall technical solutions which really speaks to a continued strong demand environment and pretty much across all the geos that we operate in. When you consider the incremental strength that we had, in particular at the beginning of Q3, as well as some benefit that we got at Hyve, those really are the two primary reasons why we’re at the lower end of what we would normally see as a seasonal increase Q3 to Q4 but obviously we benefited from that and we still expect to have very strong growth year-on-year in Q4. With regards to Hyve Solutions as you know we don’t break out those numbers. It’s strategically important business for us and when we do get the ebbs and flows of that business it does play a little bit into our sequential growth by 1% or 2%.
Matt Sheerin - Stifel Nicolas and Company: And when we think about the margins in that business, it would be fair to say they're sort of like assembly or EMS kind of margins mid-to-high single digits?
Chris Caldwell: We don’t breakout margins either and we do view our margins in overall Technical Solutions on a consolidated basis. It’s just one of the factors in our strategy to continue to proactively manage our overall business mix and drive the higher margin.
Operator: Thank you. And our next question comes from Jim Suva. Your line is now open.
Jim Suva - Citi: Congratulations to your team at SYNNEX. Couple of questions. First of all on the next quarter outlook, unless my models are wrong or whatever, it looks like you are guiding below seasonal. It looks like you are guiding midpoint to around 5% but it looks like in the past, it’s been closer to kind of 10%. So if you could kind of address that that would be great.
Kevin Murai: Sure and Jim, we have talked about that just before you asked your question as well. So we don’t want to repeat all of the detail but when you factor-in the incremental strength that we had in Q3 driven still by some Windows XP tailwind as well as some benefit that we got in our Hyve Solutions business that really accounts for the difference between what you're seeing in our sequential seasonal guide and what you would expect as kind of an average seasonal guide. We'd like to point out as well that the Q4 guide, when you look at it on a year-on-year basis, it's very strong growth.
Jim Suva - Citi: What about if we were to look at it year-on-year organic, same answer or different answer?
Kevin Murai: Yes, all of the growth that we had in Q3 and all of the growth that we're guiding too in Q4 is organic growth.
Jim Suva - Citi: And then when we think about your capital allocation, is that cadence going to be, you're going to reassess the dividend kind of on an annual basis or how should we think about how often you're going to reassess it?
Kevin Murai: We're going to be assessing it on a quarterly basis.
Jim Suva - Citi: And then last question, on your tax rate, am I right it’s coming up a little bit and is that due to the integration? It looked like you've been kind of trending kind of 35% to 36% and did you guide in your prepared comments 36% to 37%?
Marshall Witt: Hey Jim, this is Marshall. It’s just to the locations from which the income is been generated.
Jim Suva - Citi: And is there anything to cause me to believe that should change or that it should kind of keep running at 36% to 37%?
Marshall Witt: Our goal is to continue to bring that down in the out quarters if you will.
Operator: Thank you. And our next question comes from Bill Shope. Your line is now open.
Bill Shope - Goldman Sachs: As we look beyond the near term and look to next year and think about your potential for continued margin leverage, would you think that will be primarily coming from your efforts in Concentrix and overall if not or if so, what are the key swing factors in the model as you think about the opportunity for margin leverage today?
Marshall Witt: I think the great news is that we see margin expansion opportunities across the entire business. Concentrix obviously with its scale provides a step level improvement on margins and then with continued work as we get through the integration and that really capturing the value of the combined business, we see continued expansion opportunity beyond the post-integration phase. Technology Solutions has always been a story of expanding margins and just as we continue to invest in different strategic areas, the technology market is moving into different places in particular with cloud and mobility. And we're investing in different business models that help us to gain a more services rich type business, really driving much more to a full solution sale and as a result of that it’s our goal to continue expand margins in technology solutions as well.
Bill Shope - Goldman Sachs : And I guess a related question on the demand side, obviously broader IT spending continues to improve at a fairly steady pace, but I'd say the sources of upside for you guys have moved around a bit and probably will continue to do so. As you look beyond the next quarter and think about the next few quarters after that, which end-markets are you most encouraged by, most confident, and which markets you think could be a bit more volatile and maybe give you some more concern?
Marshall Witt: It’s going to be a slightly different story I think depending on which geo we are talking about but within the U.S. market, the commercial market just feels good right now and I think that’s going to continue to be the case for the foreseeable future. We're also seeing good strength in public sector. I've talked about Sled being a strong market for the past number of quarters now but we're also hearing more positive things on the federal market and let's just say we're cautiously optimistic about what we'll see in federal going forward. The retail market for us in the U.S. is also a strong market. Biggest factor there I believe, we just have the right product and we're in the right segments and we have the right customers that are growing. In Canada, we see continued improvement, really starting in the commercial side but we see opportunity in retail as well. And then our Japanese businesses, it's probably -- our opportunities in Japan are more driven by our ability to perform and gain share than the underlying markets which as you know have been very, very strong.
Operator: Thank you and our next question comes from Osten Bernardez. Your line is now open.
Osten Bernardez - Cross Research: I guess to begin, would you be able to sort of give us some kind of color to how much of the benefit you saw this quarter from the Win XP expiration and get them few -- several quarters that you’ve gone through it with this benefit, what can you tell us from a relative performance standpoint and how should we be thinking about the rest of your TS business outside of that?
Kevin Murai: Osten, great question but kind of hard to break down. If you look at kind of our TS segment has grown Q1, Q2, Q3 you can take a look overall and say well the overall markets were up obviously a lot of that driven by Win XP but it just raised the water level of overall IT demand. But you've see it go from greater than 20% growth. We were 19% this past quarter in Technical Solutions but you can’t just split out the Win XP effect because I will be looking at maybe just one or two categories. Really there's a lot of other drag along product that happens when there is an acceleration of refresh at the client level and because we’re also selling a lot of networking and security and other things that support those client devices. So it’s hard to split out. Let’s just say that it was a big factor through our first three quarters of this year, but we still expect to see a strong market in Q4.
Osten Bernardez - Cross Research: Got it. And then with respect to Hyve, you mentioned it being project based and being able to garner some wins that you weren’t expecting earlier in the quarter. My question is with respect to the rest of 2014 or just fiscal 2014 as a whole what kind of growth do you think Hyve can generate, given that it doubled or at least doubled last year?
Kevin Murai: As I said, it’s one of our strategic business units and that’s really why we don’t break out those numbers separately. It has been a good growth engine for us in addition to strong organic growth in the overall business too, because I want to be clear, our organic growth in Technology Solutions outside of Hyve has been very, very strong, but it’s also very good complement to the rest of our business too and even though sometimes we talk about it separately, really that business goes hand in hand with other parts of our technology solutions business too and I think that helps also raise the water level at least for us and what we see in overall demand too. So I can’t answer your question directly Osten in terms of what the growth numbers are, but it helps our business beyond just the specific Hyve number into our overall TS sales.
Osten Bernardez - Cross Research: Got it and just one final question for me. With respect to Concentrix, can you just confirm for me, just so that I understand correctly. The businesses that you’re expecting to sort of wind down, that had not begun, meaning no revenue has gone away. Is that accurate? And secondly have you provided -- I think you’re saying that you're still working on it. So you haven’t provided a specific timing as to -- no size but no timing either as to when we might see that?
Chris Caldwell: So Osten, this is Chris. The business actually has started to decline, actually started before the purchase was complete; so back in the fall of last year and is on a sort of steady decline through the next six quarters to where it would complete. It is not fully - with full visibility about what’s going to be left at the end of the six quarters. So that’s really why we haven’t provided as much visibility to it, but it has sort of impacted margins as well as impacted revenue, that we knew about as we made the purchase.
Osten Bernardez - Cross Research: Got it. And so from a OpEx standpoint, when you say that we’re going to see the OpEx scale down a bit, are you saying you’re going to grow into that OpEx or you see OpEx come down some down?
Chris Caldwell: Two points to that, Osten. I would say as we talked about in both Q3 and Q4, we’re saying that there is a heavier OpEx because of the integration work that we’re doing and completing and then in sort of the beginning of 2015 we’ll start to see that diminish as we get off the IBM systems. But there is a base line OpEx that we expect and then we continue to look at leveraging the business as we always have and add more revenue while trying to manage that OpEx as efficiently as possible. That being said, we always are investing in the business and making longer term decisions and we’ll continue to do that as we go forward.
Operator: Our next question comes from Rich Kugele. Your line is now open.
Rich Kugele - Needham: Thank you, good afternoon. Just a few questions. First on Concentrix, can describe a little bit about how you view the drivers of that business? Do you see [Technical Difficulty] more when business is getting better for an IT spending perspective or are they more likely to go and engage Concentrix when business is softer and they’re looking for ways of reducing their own cost? So just to understand, what might be the demand drivers? Then I have some follow-ups.
Chris Caldwell: So Rich, two data points. One is we support 10 verticals that obviously cover a lot more than just technology. So we get to see things sort of across double economy from obviously bank and financial services, insurance, healthcare, technology, consumer electronics and therefore get the impact of both micro and macroeconomics that along with it. In terms of our growth drivers, clearly in this industry we saw there being a lot of consolidation with clients looking at having fewer service providers, that we’re going to take on more complicated and engaged tasks and also wanted to perform these tasks on a global scale. And that’s what was driving Concentrix growth prior to the IBM acquisition and we've really been able to take the IBM client base that came across and offer the same sort of engagement and level of expertise as well as with the great strength of expertise that came along with the IBM acquisition, to go back to them and take more share within those accounts so that we can grow our business. So that’s a fairly significant driver within this overall business services area. The second part that's driving the business services is just the ability to be more cost effective around a number of the processes when we manage the whole process end-to-end. We can be more efficient, more cost effective, driving a higher value and lower cost of operations than what they can do internally and that's just driven by scale and some tools and technology that we have been and obviously our strength in analytics to drive that performance within a client's processes and clearly the good part is that once those types of projects come across, they stay with us for an incredibly long time because they’re complex. The challenge is that the sales cycle is a little longer for those and there are upfront cost for onboarding those types of process where we’re taking over something from start to finish are a little heavier than what you might have seen historically.
Rich Kugele - Needham: And then I know you don’t give specifics on Hyve, but just conceptually, you talked about inventory being up at the end of the quarter because of Hyve and some project oriented stuff. So does that imply that those projects were coming in at the end of the quarter; were you working on them all quarter; and it's just going to get fulfilled in the next quarter and which talk about the dynamics and how often these big projects come up would be helpful to know too? 
Chris Caldwell: Yes, so number one is understand that our inventory AR and AP for that matter, they're all point in time measures, right. Not what it was at the end of the quarter. All of those numbers move by tens, if not hundreds of millions of dollars week-to-week. So part of it is just timing of when we get in shipments or ship out product, things like that. Hyve, I mentioned is one of the drivers because it is a different model than the traditional distribution model, but in addition to that, growing our overall Technology Solutions business well into the double-digits also does require working capital to do it. So I don’t want you to think that Hyve was the only driver. It was just one of the drivers.
Rich Kugele - Needham: Okay. Then lastly Kevin or Marshall, I don’t know which of you might want to answer this. Does the Board have a philosophy regarding the dividend? Like some companies talk about we want it to be X percent of free cash flow and in that way people can do their own modeling on cash flow and figure out where the dividend might go over time or is it just, this is what we can afford at this point and whatever the percent is, that’s what it works out. Can you just comment on that?
Marshall Witt: Yes, the highest level objective in philosophy that not only the Board but all of us and management share is delivering I would say best of great shareholder return. And with the different profile that we have in our business now, especially with the growth in TS historically and the acquisition in Concentrix, that really changes the profile and in fact our ability to increase the way that we’re able to return back to shareholder. So it’s a start and I think our thinking is going to continue to change as time goes on, but really, Rich, it starts with the philosophy that we want to return value back to our shareholder. So we’ll continue to look at that but again we do believe it was the right time to start it and it just adds another great dimension to what we do.
Operator: Thank you. And our next question here comes from Lou Miscioscia. Your line is now open.
Unidentified Analyst : This is [indiscernible]. So with the open compute concept for it, just wondering if you could help us out with the mix of customers in the sense that give a very small number of very large customers or if it's spread. And then also what’s your go-to-market strategy? Do you have a sales force sort of heading up some of the mega datacenters or is it mostly just stuff actually that’s just inbound coming in maybe over your Web site?
Marshall Witt: It’s going to be a smaller number of customers. Obviously with a number that are very important to us. Well, they're all important, but some of them are a little bit larger than others. The focus has really been more on custom solutions and as you know we started this business with our partnership with the open compute project and really the community of these large scale datacenter operators is a relatively small community. And although we do have our own sales organization, a lot of the opportunity really does come to us through word of mouth. And the sales of piece of it by the way is very highly technical sales, a lot of engineering and consulting work that gets done as we look at different opportunities. So it does touch the very highest end of the market in terms of scale and size. And as you know when you look at those companies that do operate large scale datacenters, there are fewer of them than more. 
Unidentified Analyst : Okay that’s helpful. And then on Concentrix, you mentioned I think last quarter ramping up I believe 5,000 people and then I know you gave a headcount of over 50,000 people. I'm just wondering now have you ramped up the vast majority of those and now do you see an additional increase coming in the next quarter or two of that size or is it really just ramping up the business for those hires that have already been added?
Chris Caldwell: This is Chris. So last quarter we talked about 2,500 being ramped and those are all ramped and sort of in production just starting to -- just starting to actually frankly create billables for our clients. We also are currently ramping now additional, a few thousand people and that’s generally driven by seasonal volume that will kind of peak around the December, January timeframe for some of our customers that are more retail focused. And so really, it’s really been driven by new logo wins, as well as expansion of our existing client base across the board, that’s modest to drive this growth.
Operator: Thank you. And that ends our question-and-answer. I'm turning the call over back to Ms. Skolfield.
Deirdre Skolfield: Thank you, Al. Thank you everyone for your participation. We look forward to speaking with you through the quarter. This concludes today’s call. 